Operator: Welcome to the Acadia Realty Trust fourth quarter 2007 conference call. (Operators Instructions) I would now like to turn the conference over to Debra Miley. Please go ahead.
Debra Miley: Good afternoon and welcome to Acadia's fourth quarter 2007 Earnings Call. Please be aware that statements made during this call that are not historical may be deemed forward-looking statements under the Federal Securities Law. These statements are based on current expectations, estimates and projections about the industry and markets in which Acadia operates and management's beliefs and assumptions. Forward-looking statements are not guarantees of future performance and involve certain known and unknown risks and uncertainties as discussed from time to time in the company's Form 10-K and other periodic filings with the Securities and Exchange Commission. These factors can cause actual results to differ materially from those expressed or implied by such forward-looking statements. During this call, management may refer to certain non-GAAP financial measures, including funds from operations and net operating income. Please see the company's earnings press release posted on the Acadia website for reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. Please note that the FFO numbers for calendar year 2007 have been adjusted as set forth in the reconciliation. Participating in today's call will be Kenneth Bernstein, President and Chief Executive Officer; Michael Nelsen, Chief Financial Officer; and Jon Grisham, Chief Accounting Officer. At this time, I'd like to turn the call over to Mr. Bernstein.
Kenneth Bernstein: Thank you. Good afternoon. Today we're going to review our fourth quarter results, update our key accomplishments during 2007 as well as discuss our outlook for 2008. I'm pleased to report that 2007 was another strong for Acadia. We made significant progress in all of the key components of our business. We achieved 9% earnings growth driven by both; solid portfolio performance as well as strong contribution from our external growth platform. But most importantly, in reviewing our 2007 performance and outlook for 2008, we need to look at how our activities last year position us for this year in the context of a clearly challenging and follow the market that we're now in. While both concerns about the economy as well as illiquidity of the markets are presenting certain challenges to portions of the real estate industry, they're also presenting tremendous opportunities for those well positioned. So, today we'll review our core portfolio where last year we continue to drive property level performance, but more significantly continue to refine our portfolio through non-core dispositions. While the sale of properties create some amount of short-term dilution while we hold cash for redeployment and this is going to impact our 2008 earnings. We view this type of dilution as positive event dilution. Second; we'll review our balance sheet where we continue to maintain very strong metrics and liquidity. As Mike will discuss, we have no on balance sheet debt maturities over the next three years. We have enough liquidity from cash on hand in line to cover all of our foreseeable equity requirements for investing in both Funds II and Funds III. Thus, we could execute our growth strategy for the next several years without having to be overly dependent on the debt or equity markets. Third and finally, we'll review our external growth strategy. In the second quarter of last year, we formed Fund III with just over $500 million of discretionary equity and $1.5 billion of purchasing power enough to almost double our assets under management. We've been in the opportunity fund business for as long as we've been in business. While it's been a profitable platform during good times, the discretionary fund business is especially potent in illiquid markets where increased dislocations and well executed contrarian investments can result in outsized returns for investors and shareholders. So we go into 2008 with a solid core portfolio, strong balance sheet and plenty of dry powder for growth. And while there is a clear drag on our 2008 earnings from our dispositions and cash liquidity, we are extremely well positioned to capitalize on the opportunities that are beginning to surface. With that, I'd like to turn the call over to Jon who will discuss our fourth quarter results. Jon?
Jon Grisham: Good afternoon. I'll briefly review our fourth quarter earnings and then outline our guidance for 2008. FFO for the fourth quarter was $0.29, and reflected in this result are the following items: The sale of two Fund I properties located in Ohio which generated $1.8 million of promote income for Acadia, leasing fees of $800,000 from our Fund II 216th street project, a distribution from Albertson's, of which our share of income was $400,000 net of taxes, additional non-cash amortization expense of $1 million related to original RCP formation costs. We will be amortizing the remaining balance of these costs over the life our current RCP investments which will total about $360,000 annually over the next three years. And then as part of our continuing non-core recycling program, we sold our residential complex located in Columbia, Missouri and declared a special distribution of $0.2225 related to taxable capital gains. Year-to-date, our FFO was $1.30 which was consistent with our previous guidance. Turning now to 2008 FFO guidance, and while I walk through the details in looking at 2008, there are two key initiatives which will mute our earnings growth. The first is our strategic decision to sell non-core assets, both in the last quarter of 2007 and 2008. And then secondly, the earnings dilution from holding significant cash on hand. And similar to last quarter, I'll discuss our forecast in the framework of the five major areas of income of our business model. And as a reminder these are, one core portfolio income, two, a pro rata share of fund income, three, asset based free income which includes asset and property management fees, four, transactional fee income which includes leasing commission and development fees, and then lastly, our promote and RCP income. We included in our press release our general assumptions that relates to all of these key areas and I will not recite them but I would like to point out the following key factors. The core activity includes interest income from treasury and mezzanine investment activities. And for 2008, we anticipate a decline in treasury interest as a result of both floor rates and the deployment of cash on hand. We are seeing more interesting opportunities for our mezzanine investments and anticipate that this may counter balance some of the decline. In addition, we anticipate additional 2008 non-core property sales of approximately $75 million. While we believe this is accretive from an NAV standpoint, together with the fourth quarter 2007 sale, this will account for approximately $2 million or $0.06 of short-term FFO dilution prior to redeployment. Same-store NOI growth of 1% to 3% is expected to partially offset these drags in FFO. Turning to transactional fee income, we anticipate this will range from $15 million to $16 million. The range is a function of the timing of construction activities and projected store openings which determine the recognition of the leasing fee. For promote and RCP income, I'd like to first recap 2007 before discussing 2008 expectations. For '07, promote income was approximately $6 million. $3 million of this was from the Brandywine transaction which we've discussed numerous quarters, and as we've previously discussed it ended in the third quarter of 2007. The balance of promote income was from Fund I distributions following the recapitalization of the Hitchcock Plaza in South Carolina during the third quarter and the sale of the two Ohio properties which I just discussed. In 2007, we also recognized $4 million or approximately $0.12 of income from our RCP investments primarily from the Albertson's investment. In summary, promote and RCP income net of taxes totaled approximately $10 million for 2007. For 2008, we're currently forecasting a total of $3 million to $4 million of promote and RCP income. Importantly, the variance in our promote income reflects the fundamental characteristics of the opportunity fund business and the natural ebb and flow related to fund life cycles. It's not the result of any impact from current economic environment or other factors which go to the integrity of our fund business. So to summarize, for 2008 we're currently forecasting FFO in the range of $1.25 to $1.35 a share, which is adversely affected by short-term dilution of up to $0.06 from non-core dispositions and up to $0.04 as a result of projected lower interest rates and short-term investments. As we discussed in the past our earnings will vary quarter to quarter, primarily as a result of the timing of our transaction fees, promote and RCP income and we recognize that as a result of the factors that I have covered, our range of guidance is fairly wide and we'll continue to keep you updated as to our progress during the year and its effect on our guidance. Now I'll turn the call over to Mike.
Michael Nelsen: Good afternoon. Given the uncertainty in the current state of the financial markets, liquidity and access to capital are of paramount importance. In light of this, we're in an enviable position of being able to meet all of our capital needs to fund our growth initiatives over the next two to three year, utilizing existing liquidity. At year end, we had approximately $200 million available in cash on hand and under existing lines of credit. Since year end, we made the special capital gains distribution and funded our share of fund free capital cause which together aggregated approximately $18 million. And while as Jon discussed, maintaining high levels of cash balances is earnings dilutive. We believe this to be a positive position so as to be able to take advantage of accretive investment opportunities as they arise. While the volatility in the debt markets continues, we've found that for quality collateral and sponsorship at reasonable levels of leverage, rationally priced debt is still available. Given our low leverage levels and the quality and stability of our unencumbered assets, we believe that we have additional borrowing capacity. As a result of managing our future debt maturities, we have no scheduled maturities in the core portfolio over the next three years. With regard to our share of JV debt maturing over the next three years, the majority relates to construction debt, of which our share represents less than $40 million and is expected to be replaced with permanent loans. During the quarter, we continued to maintain a low exposure to floating rate interest risk as evidenced by the fact that our core portfolio is a 100% fixed rate. Including our pro-rata share of JV debt, we are 93% fixed rate, primarily as a result of the floating rate construction debt. Although in the current environment, there may be some short-term benefit to floating rate debt, we believe that fixing rates at sub 6% is the prudent long-term strategy. Thanks, and now I'd like to turn the call back to Ken.
Kenneth Bernstein: Thanks Mike. First, I'd like to discuss our portfolio. In terms of occupancy, our portfolio increased by 40 basis points over the previous quarter to 94.2%. We achieved average rent increases of 22% on a cash basis on new and renewal leases, all healthy ratios albeit benefiting from the law of small numbers. Looking at tenant defaults and collection trends within our portfolio, notwithstanding the scary headlines and legitimate concerns with respect to the economy, bad debt in the fourth quarter and for all of 2007 remained at very low levels. In fact, it was about one-half of 1% of gross revenues. In terms of lease maturities this year, we have two or three junior anchors in the New York area that we are recapturing, 25,000 square feet comprising two tenants in our Crossroads Shopping Center in Westchester, 16,000 square feet, a junior anchor in a Smithtown. New York property and while these will cause some short-term impact on quarterly NOI and occupancy, we expect deposit of releasing spreads to more than make for these disruptions. Turning now to asset recycling, over the past several years we've focused on opportunistically disposing of assets that are inconsistent with our long-term portfolio growth strategy. Given the robust selling market for most of 2007, we continued this activity last year and in the fourth quarter, we sold our wholly owned multi-family property located in Columbia Missouri. Over the last five quarters, we've sold approximately 15% of our portfolio and in fact over the last three years, we've recycled approximately 50% of our portfolio. Generally we have recycled the proceeds from asset sales using tax efficient transactions, recycling them into properties in high barrier to entry markets including the Bronx, Staten Island, Manhattan and where we couldn't find suitable replacements as was the case at your end, we sent the balance to our share holders in the form of a special dividend. As Jon mentioned, we expect an additional one or two wholly-owned asset sales this year 2008 and notwithstanding the tremendous volatility on Wall Street, patient sellers of single asset can still achieve what we view as very attractive risk adjusted pricing. And while we are absorbing this short-term dilution in our 2008 earnings until we redeploy the proceeds, we believe that this continual upgrading of our portfolio to be an important part of creating long-term shareholder value. Turning now to external growth, the key driver of our external growth is our investment fund business. In the second quarter of last year, we launched Fund III which will enable us to acquire or redevelop approximately $1.5 billion of assets on a leverage basis over the next several years. That's a significant growth profile relative to our current size. But it's not just about having discretionary capital, one must have the ability to deploy that capital in the type of environment that we are now heading into. As you know we have had two main focus areas for investing. One is our opportunistic platform, which includes purchases of distressed assets, distressed debt, restructurings, examples include our Wilmington Delaware acquisition, our Kroger/Safeway portfolio as well as our highly profitable, RCP initiatives. The second component is our value add platform where our main focus most recently has been our mixed use Urban/Infill Redevelopments in New York City. In terms of fourth quarter activity on the opportunistic side, we had additional positive events in connection with our retailer controlled property or RCP venture with the Klaff organization and its long-term partner Lubert-Adler. And while we've completed several transactions over the past few years, the two most significant were Mervyn's and Albertson's. With respect to Albertson's during the fourth quarter we received a distribution of $3.2 million, this brings our total distributions from Albertson's to $53.2 million on a $20.7 million investment and that's a 2.6X on equity. Mervyn's had been a 2X on equity on our original investment and in the fourth quarter, Mervyn's announced the sale of 43 assets, comprising about 3.4 million square feet. The first 39 were closed in the fourth quarter for approximately $400 million and the proceeds of the sale were used to pay down debt. With respect to both Mervyn's and Albertson's, there appears to be significant additional embedded value and our consortium is pursuing several opportunities, but it's premature to discuss the size or timing of those events. On the value-added redevelopment front, the key focus has been our Urban/Infill program with our partners P/A Associates. In the fourth quarter, we closed on our Sheepshead Bay acquisition. That's our 10th project with P/A. Through our Fund III, we acquired this redevelopment and once it's completed, it will consist of approximately 240,000 square feet of retail. As of the end of the fourth quarter, we now have 10 projects, 2.4 million square feet of commercial space to be developed. Two are now complete, that's 216th Street and Liberty Avenue. Four are currently in the development phase or under construction, that's Pelham, Fordham Road, Canarsie and Atlantic Avenue. 161st Street continues to be cash flowing and its full redevelopment will occur upon the relocation or exploration of certain leases. And then three are in design phase, that's our City Point in downtown Brooklyn, Sherman Avenue and most recently Sheepshead Bay. Turning now to our recently announced addition to the self storage component of our New York portfolio, as we've discussed on previous calls, over the past two years, we began to incorporate self storage into our New York urban platform. As part of this, we commenced four projects with our self storage joint venture partner Storage Post. We feel that the self storage business can be complementary to our urban redevelopments. In fact, three of the first four projects that we've started incorporate storage either above or adjacent to our retail developments. It's been through this process that we've grown quite comfortable with the self storage business in New York City and with our partner Storage Post. At year end we were presented with the opportunity to buy out Storage Post's previous institutional capital partner in 10 previously developed or acquired projects. The portfolio is located in densely populated infill locations throughout New York City and New Jersey. On page 41 of our supplement we list the locations. Occupancy at the 10 projects is currently approximately 70% with significantly lease up opportunity. We expect full lease up over the next three years. Our going in yield will be between 5% and 6% and we expect unleveraged yield upon stabilization to be between 9% and 10%. Additionally then just after year end we agreed to acquire an additional property. This will be the only project with a development component to it of the now 11 properties and we expect to close on all 11 this quarter. Our key rationale for acquiring the portfolio is as follows. First, the portfolio offers a unique opportunity to gain an even more significant foothold in the high barrier to entry New York locations. The portfolio totals 1.2 million square feet gross, 830,000 square feet of net rentable space, combined with our existing four storage developments it produces an overall portfolio of 1.6 million square feet gross, 1.1 million net rentable square feet in the New York metro area. We're acquiring the portfolio for 160 million and that's approximately a $135 a square foot or what we view to be approximately 70% of replacement cost. Finally New York is a supply constrained market. The self storage supply in the New York metro area is less than 1.5 square feet per capita, well below the national average which is approximately 6.5 square feet per capita. So we are very excited about the acquisition and we will keep you posted as to its progress. In the fourth quarter we also closed on our second Fund III acquisition at 125 Main Street in Westport, Connecticut. As we discussed briefly on our last call, we purchased and will significantly renovate a 30,000 square foot building in the heart of Westport. Total acquisition and development cost is estimated to be approximately $23 million and we should have a property similar in style to our successful Greenwich Avenue redevelopment. In terms of our acquisition outlook going forward, we expect to begin seeing more opportunities in general to buy existing assets at attractive prices as opposed to pure redevelopment as buyers with real capital regain an upper hand. One of our goals has always been to be flexible enough as a company both in terms of capital and talent to be able to pursue opportunistic investing when it makes sense and value-added redevelopments when those make sense. So to conclude today, while I'm sure we'll face our share of challenges from a softening economy and a choppy capital market, and while the positive event dilution from a host of our prudent and strategic activities in 2007, we'll have short-term negative impact on our top line earnings growth this year. Our core portfolio is strong due to both retenanting and opportunistic dispositions. Our balance sheet is solid with plenty of dry powder. And third, our acquisition initiatives position us to take advantage of any unique opportunities that may arise. With that, I'd like to thank the members of Acadia for their hard work last year and I'd be happy to take any questions.
Operator: (Operator Instructions). Your first question comes from the line of Christine McElroy with Banc of America. Please proceed.
Christine McElroy - Banc of America: Hey, good afternoon.
Michael Nelsen: Hi.
Christine McElroy - Banc of America: Your same-store NOI growth forecast of 1% to 3% seems like a pretty wide range. Can you talk about what kind of drivers would result in the low end of the range versus the high end? And what are the biggest uncertainties there?
Michael Nelsen: It's great question. One, I think everyone has to keep in mind as I referenced before the law of small numbers and as we sell more assets, it becomes even more relevant, so that some of the repositionings that I mentioned at our Crossroads center, 25,000 square feet or in Smithtown Long Island, they actually have a meaningful impact to NOI. As long as we're disposing of the right asset and holding onto the right asset, I am less concerned about that movement other than making sure everybody understands is that a few minor changes could have that impact. The other thing is, I pointed out our collections have been rock solid. So far so good but there are a lot of headlines out there, because everyone or should cause everyone to be cautious, I am not seeing any data internally. But that doesn't necessarily mean that our portfolio is a leading indicator. And I think we ought to be prepared for certain tenants having collection issues, bankruptcies, anything like that could cause it to go to the lower end.
Jon Grisham: To quantify that Christine, I mean our bad debt expense for '07 in total was less than $0.5 million which represents less than one-half of 1% of tenant revenues for the year. So our experience has been extremely positive for '07 facing some economic headwinds potentially in '08 and beyond that number if it increases obviously can mention would have an impact on that same-store growth.
Christine McElroy - Banc of America: So as you have been gradually selling non-core assets and investing more in infill areas, what do you see as the long-term same-store NOI growth potential of the portfolio?
Kenneth Bernstein: Great question. Our hope would be that on a relative basis a 100 basis points higher than the national average. And so far we see that in the infill locations of Westchester, Long Island, certainly New York City where you are able to because of supply constraint really demand stronger rent growth, both contractually and then as the tenants roll. That's the relative answer. Absolute terms, I think I'm inclined to again hedge, because so much of it for the next year or so could be based on how do the next several quarters play out for the economy.
Christine McElroy - Banc of America: Okay. And then just lastly, I'm sorry if I missed this, but what volume of non-core asset sales are you projecting in 2008? I think you said one to two assets. And what kind of cap rates have you been selling at?
Kenneth Bernstein: Jon, you said $75 million?
Jon Grisham: $75 million is what we currently have in the forecast.
Christine McElroy - Banc of America: Okay.
Kenneth Bernstein: And that's probably a couple assets. But again if the right opportunity comes for almost any of our assets, we would consider it, albeit they become far less dilutive as you start moving into the high quality. In general, we've seen the cap rates range from 6.5 to 7.25 and for some of the assets, it's less about the actual cap rate and then the value depending on some of the risks that we either might see or some of the opportunities that a buyer might see.
Christine McElroy - Banc of America: Thank you.
Operator: Your next question comes from the line of Paul Adornato with BMO Capital Markets. Please proceed.
Paul Adornato - BMO Capital Markets: Thanks. Good afternoon.
Jon Grisham: Good afternoon Adornato.
Paul Adornato - BMO Capital Markets: What should we expect in terms of liquidations out of Fund I over the next year or two?
Jon Grisham: We have remaining in Fund I at this point, it's about 1.2 million square feet. It's primarily the Kroger Safeway portfolio, a little more than 1.2. Plus we have three or four more redevelopments. You may see potentially one or possibly two over the next twelve, sixteen months. Kroger Safeway, we can't do anything with that really until 2009 when the primary terms in that portfolio expire, at which point you will start to see some movement related to that portfolio 2009 and thereafter.
Paul Adornato - BMO Capital Markets: When you say movement, will those be simply sales or redevelopments?
Kenneth Bernstein: It could go either way, I think more likely sales Paul, Kroger Safeway we bought extremely opportunistically. When I when I talked about opportunistic acquisitions as oppose to redevelopments, the view there was we got in an extremely low price per square foot and a mid-teens unlevered yield with a view that in 2009 we could selectively dispose off those to Fund I is half of our Mervyn's investment is in Fund I as well. And we never like to forecast exactly when the future embedded components hit, but as you can see just by the amounts that we have recognized over the past couple of years it keeps contributing very nicely.
Paul Adornato - BMO Capital Markets: And looking at the stores that Mervyn's sold, I have realized that it was a very much a mix bag but did that portfoilio have any appeal to you?
Kenneth Bernstein: Well, the whole Mervyn's transaction had a huge appeal to us. If you means that we want to bid up on it, the short answer is no. And while we are not opposed to stepping on the other side of partnerships where we have invested in and buying out our partners, we have done it before, we will do it again, there is often better strategic buyers where people want to pay more than we would. And keep in mind when Mervyn's was acquired, our purchase price was $1.2 billion for over 22 million square feet. We were in about $50 a square foot. We a couple of years ago announced the first transaction of 25% of the portfolio for over 50% of the purchase price and it continued on that pace, which is a doubling on a gross basis. And when you do that, the equity return multiples on a leverage basis are even significantly higher. So the ability to make this kind of profit is extremely attractive to us, our investors, our shareholders, and so we are very happy with it. And then on the other side, I think it can be a real win for the strategic buyers as well.
Paul Adornato - BMO Capital Markets: And switching to the storage portfolio, who were the sellers and why did they sell?
Kenneth Bernstein: It is an institutional investor. I'm not going to mention the specific capital. They had various needs and desires for capital or reallocation of real estate exposure as I understand it, and we've been partners with Storage Post originally. This was something that was going to market at a much higher price and when it was offered to us at a price that we view compelling, keep in mind four of the assets are stabilized of the 70% occupancy. The other six either were relatively recently acquired and being repositioned and leased up or recently developed and leased up. The ability to buy existing assets again, no new development, minimal construction at 70% occupancy and drive this into 85% to 90% occupancy is very compelling relative to the amount of moving parts in development or the yields that we were forced to buy assets as short as a year ago. So we think it's very attractive, it blends very nicely with the balance of our New York urban/infill portfolio and we're excited by it.
Paul Adornato - BMO Capital Markets: And is there any performance contingency in the price either with the lease up properties or the one development property that's going to come in?
Kenneth Bernstein: Not vis-à-vis the seller, Storage Post is both investing or reinvesting capital back in and they have clear performance hurdles that I'm expecting them to achieve.
Paul Adornato - BMO Capital Markets: And finally looking at the apartment that you sold in Columbia, what was the price of that and what was the gain?
Kenneth Bernstein: What was the gain Jon?
Jon Grisham: The price was about $16 million and the gain from the taxable standpoint, I don't recall.
Michael Nelsen: The gain from a taxable standpoint was something in the neighborhood of, might have been as much as $4 million to $5 million.
Paul Adornato - BMO Capital Markets: Okay
Jon Grisham: Cap rate once you again put in reserves again probably low sevens.
Paul Adornato - BMO Capital Markets: Okay, thank you.
Operator: Your next question comes from the line of Ambika Goel with Citi. Please proceed.
Michael Bilerman - Citi: Here is Michael Bilerman here with Ambika as well. Ken, just had a question on the retailer front, you talked about how good the Albertson's and Mervyn's transactions have been and how that there are still more to go. I guess what's happening in the credit market and also is having the economic backdrop. Is that business dead for now in terms of buying out retailer?
Kenneth Bernstein: It's very interesting question. In some ways, the business was most dead from my perspective, from Lubert-Adler perspective because we invest institutional capital where we can only use certain amounts of leverage. It was most dead when the LBO market was most alive because people were fully financing the investments. What I think will be interesting to see now is one, as there is a lot less debt capital available for buyouts and as retailers have more challenging times in front of them, buyers like our consortium and potentially others, I think are going to be in a better position to either assist retailers or the reason we got into this business originally was associated with the bankruptcies. If bankruptcies occur, we'll be well positioned to do those, although we'll have to use a lot more equity than some of the transactions that you saw over the past year or so.
Michael Bilerman - Citi: Are you aggressively seeking out situations, I mean there is a handful of retailers that are having their fair share of issues that clearly were, the real (Inaudible) cap rates are settling out, there has to be some realistic value relative to the operations. Are you trying to seek out those opportunities or you are just waiting for them to find you?
Kenneth Bernstein: I'd like to think we, anything we do we do aggressively without being overly obnoxious about it. No, we don't just wait. And right now you are going through a huge transition, it's not just in the retail businesses. It's with buyers and sellers, Main Street versus Wall Street. People are still in a certain level of shock and denial in some levels. And grasping back towards, couldn't I get that type of pricing that was there a year ago. And I think that you are seeing that across the board and there is no reason to think that retailers and their Boards aren’t struggling with those same realities. I would suspect the next quarter or two, that will play out and those smart retailers who have meaningful real estate will start viewing that as a potential way for them to recapitalize their company. But there has to be a better sense as to where the values come before you start seeing significant transactions in what I'll call the new paradigm.
Michael Bilerman - Citi: That's helpful. Ambika had a bunch of questions.
Ambika Goel - Citi: Can I get some color on the specific investment opportunities and your infill market, I know you mentioned that there is increasing opportunities, but I wanted to get some more color on what types of opportunities are, who the sellers are, and if you have seen any significant change in pricing that's making these opportunities look more attractive?
Kenneth Bernstein: And those that we don't yet have under contract I think you could appreciate why we probably won't tell you, if for no other reason that I don't want 20 other people chasing them. But in general here is the landscape as we see it. For stable single assets, I will talk about shopping centers in good locations cap rates have not moved that much and have not moved enough for me to think that's where we are going to be spending a lot of our time. And frankly they may or may not move that much because for those type of assets a seller or borrower says I can go to a bank and borrow at between 150 and 200 over LIBOR. If I'm concerned about interest rates, I can swap in and my five year cost of debt will be between 5 and 5.5%. So why should I sell it to you at 8%. So I wouldn't back up the truck-in anticipation of those and that's not necessary where our focus would be. Conversely, those borrowers s and developers who were very used to high levels of leverage and had made commitments based on the anticipation is that they could 80%, 90% sometimes a 100% of the value and are now facing various different of types of capital costs are going to be in need of meaningful transaction and we are starting to see that activity kick in. We've been active in those businesses before, and if you looked at how we structured Wilmington, Delaware where we bought a fabulous portfolio at a going in close to 9% yield because we've been worked with the existing owner as to the lease up of the balance of it. Other deals that were structured and very complicated the Kroger/Safeway or some of the debt that we bought. I think it may be more along those lines, Ambika, than the traditional buying of one shopping center.
Ambika Goel - Citi: Okay, great. And then at then Storage Post asset say you recently acquired, is there a mixed use development or redevelopment opportunities at those assets or are those really going to be just freestanding storage properties.
Kenneth Bernstein: For the short-term, they are staying as they are in terms of the outside, and that's okay from my point of view as I think mentioned before. Being able to buy existing assets at a discount to replacement cost is a good thing. And we are finally able to do that at attractive only acceptable going yields but more to the point attractive yields going forward. In New York City, anything at some point can be reinvented and the benefit of self-storage is its short-term leases, so if we chose to do that at a given time, we certainly could, so anything is possible, but don't put it into your model.
Ambika Goel - Citi: Great, okay. And then just on the retailer front, in general have you seen any change in retailer sentiment towards your infill locations?
Kenneth Bernstein: No, what we certainly have seen in our conversations and I've spent a fair amount of time talking to our retailers, I was up talking to TJX Corp which operates owns TJ Maxx, Marshall's. Those retailers as it relates to the urban markets are still committed to these locations and very interested in them because they know that if they pass this year that it could be five, six, seven years before they can get into that submarket and they recognize that they can't be that opportunistic. Conversely, in secondary markets where they are rather counting on housing growth, population growth, they are certainly changing their commitments there and across the board, the well capitalized, well run retailers are recognizing that they can be somewhat more opportunistic. So we're watching carefully to make sure that we're not the victims of their opportunisim. But for the New York market we've fortunately been very pleased with the strong tenant response and the realization that if you want to be in downtown Brooklyn, if you want to be in the Bronx, you have to pay a full rent.
Ambika Goel - Citi: So they are not you saying that or giving any pushback on rents in the infill market at this point?
Kenneth Bernstein: No more than they always do.
Ambika Goel - Citi: Okay.
Kenneth Bernstein: Always been a negotiation but there had not been any change fortunately.
Ambika Goel - Citi: Okay, great. Thank you.
Operator: Your next question comes from the line of Michael Mueller with JPMorgan. Please proceed.
Michael Mueller - JPMorgan: Hi, a few questions here. First, in terms of disposition and acquisitions, is it your expectation that you'll be able in 2008 to redeploy the money from the asset sales?
Kenneth Bernstein: Yes.
Michael Mueller - JPMorgan: Okay. And the $75 million, that's all consolidated right? So that 100% owned.
Kenneth Bernstein: That's right. That's wholly-owned assets as a matter of fact.
Michael Mueller - JPMorgan: Okay. In terms of the storage investment, are you a 100% owner in that or Storage Post own a portion of that as well?
Kenneth Bernstein: They own a portion, Mike. We in almost all of the deals we structure we have our partners especially when they are the day to day operating partners put real skin in the games, so we had them reinvest real capital. We owned the majority of it. We have all of the appropriate control rights that the majority partner would have. But they have real skin in the game and we are expecting them to do a great job.
Michael Mueller - JPMorgan: And then one last question, I know you haven't put anything out with respect to 2009, but for most of this of year, you put out guidance of, I think, the number is $3 million to $4 million or $4 million to $5 million directionally. Can you give us a sense as to, when you just begin to think about 2009, what should happen directionally there? Does your gut tell you the promote numbers stays about the same, should it ratchet up dramatically?
Kenneth Bernstein: Just to clarify, Mike. The $3 million to $4 million is promote plus RCP?
Michael Mueller - JPMorgan: Yes, that's what I meant, I'm sorry.
Kenneth Bernstein: As we put out in the sup, we have estimated about $8 million of promote left to collect from Fund I, we've already collected $11 million to-date and over half of that $8 million pertains to the Kroger Safeway portfolio. So as I mentioned, there may be a couple one or two one-off sales in '08. In '09, there may be something related to Kroger Safeway, but it will be '09 and probably '10 until Kroger Safeway is fully realized. Then we have Mervyn's, the assets in Fund I and before we it know we're going to have start focusing on the monetization of Fund II. But we are not yet migrated to give you guidance how much hits of 09, '10, '11, we will work real hard at giving better visibility out in to those points as the deals make sense. The funds business is a somewhat lumpy business and that's fine especially when the lumpiness has been the amounts of profits we've recognized for instance last year from an Albertson's or Mervyn's. And keep in mind the Albertson's profits were recognizing, aren't even promote, that's a different category, that's just a pro-rata share.
Michael Mueller - JPMorgan: Okay, great. Thanks.
Operator: Your next question comes from the line of Richard Moore with RBC Capital Markets.
Richard Moore - RBC Capital Markets: Hello, guys, good afternoon. On G&A, could you talk a little about that it was up in the fourth quarter and as I look at your guidance for 2008, it seems to be higher than we had anticipated and also higher than it was in 2007?
Jon Grisham: Rich, for the fourth quarter and we mentioned this on the last quarter's call as well, that there were additional one-time costs associated with some management changes that was probably a couple of pennies at least, and then fourth quarter also included some additional compensation expense, year end comp expense. So for 2007, G&A came in at about $25 million. For 2008, we were forecasting $26 million to $27 million. So that represents give or take midpoint is about a 5% increase year-over-year which we think is a reasonable growth rate.
Kenneth Bernstein: And Rich, keep in mind only at Acadia it does $1 million G&A swing have a meaningful impact on our earnings and we've recognized that and we probably have to do a better job of putting out the right metrics to make everybody comfortable that we are running a very efficient company. But also one and most importantly, that's correctly staffed for opportunities we have at hand now, the opportunities we're working on. And the fact we have significant growth potential and we need to make sure that we have the right people here focused on us. So we'll provide the good data, but I also promise you, I want to make sure we have the right team and that they are motivated and that they continue to do the job that is necessary to create the kind of profits we've created.
Richard Moore - RBC Capital Markets: Okay, so Ken, is the extra $1 million or $2 million is that probably associated with new hires, you are thinking?
Kenneth Bernstein: Well, certain amount is just cost of living, and since the majority of our G&A is compensation and there is a certain cost of living and here in New York, it's real. You get X percent just there alone, and then we're adding people, periodically we are subtracting people too. But we are making sure we got the right people to handle not just the several billions of dollars of assets that we deal with now, but the other 1.5 that we expect to see come online over the next few years.
Richard Moore - RBC Capital Markets: Okay, very good. Thank you. And then on the Mervyn's transaction, it sounded for metrics like that was a transaction that was marketed, that was 43 assets or maybe 39 and then four more that were marketed, that's kind of a portfolio. First of all, do you know if that's true? And B, is that kind of what's happening with Mervyn's, is it more of -- are we getting to a point where there is more of an urgency that kind of get portfolios out there and get them sold?
Kenneth Bernstein: First of all, I would say our experience in, we've been actively involved with the whole Mervyn's team to everyone's credit, everything that they do is with urgency, but it's very deliberate and there has been portfolios in the market place since shortly after we closed. And the first one was to McCorey for 25% of the portfolio and we sold it for 50% of our purchased price. So there in all of the RCP transaction, there will always be sale lease back effectively portfolios that our partners and we are looking to monetize because that's a big part of how you make money in that. There is nothing unique about last year. There is nothing unique about this year or next year but in general you'll see a focus on those assets that are best in someone else's hands, be marketed and sold, sometimes acquires transactions, sometimes they're marketed.
Richard Moore - RBC Capital Markets: Okay, very good. And then on the self-storage assets kind of going back to what Ambika was asking, I've always thought of your work with self-storage just being part of a broader project and these sound like they are more of a pure play, the ones you just acquired with Storage Post. And I'm wondering are you thinking more in terms of the geography, is what's important to you, so we might see you maybe buying some small office buildings and warehouses and other kinds of things or is it just this is so unique that you just have to do it?
Kenneth Bernstein: Quick question and any time we depart from exactly what we do, we think long and hard it. Yes, it's geographic. We have a much higher tolerance for mixed use in New York City than we do just about anywhere else. So if you see the redevelopment we did on 216th Street, it's effectively a single tenant to New York City, 15-year non-cancelable lease. And it was in conjunction with another project but we are happy to own that cash flow, especially at the yields we got. The self storage, you are absolutely correct started as being complementary to mixed use developments. Here we had a partner who we know, trust and like, who had an institutional partner highly motivated if we could quickly, which we can. And so it fell more into the opportunistic bucket, but we would not have done this to buy a self storage portfolio in the Midwest or South East operated by someone else just because the yield looked attractive. This was an attractive yield, right location, right partner.
Richard Moore - RBC Capital Markets: Okay. Would you say are there other property types that might be interesting?
Kenneth Bernstein: Well we own office, we like it, albeit we really like the urban office where New York City agencies are tenants because I think that they are an underserved class in New York and you can get attractive rents and attractive yields. We love retail and we really are afraid of residential condominium. So, there is self storage. I guess there is warehouse and we are not in the hotel business.
Richard Moore - RBC Capital Markets: Okay. Super. Great, thank you, guys.
Kenneth Bernstein: Thank you, Rich.
Operator: I show no following questions. I would now like to turn the call over to Mr. Ken Bernstein for any closing remarks.
Kenneth Bernstein: I'd like to thank everybody for joining us and we look forward to speaking to you again soon.
Operator: Thank you, sir. Ladies and gentlemen, this does conclude the Acadia Realty Trust fourth quarter 2007 conference call for today. Thank you for your participation. Have a wonderful day. You may now all disconnect. Good day.